Operator: Before we get started, let me remind you, that today’s conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995 and includes statements as to estimates, expectations, intentions, and predictions of future financial performances. Statements that are not historical facts are forward-looking. Participants are directed to Trinity’s Form 10-K and other SEC filings for a description of certain of the business issues and risks, a change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. And welcome to today’s program. At this time, all participants are in listen-only mode. (Operator instructions) We’ll take question in turn during our Q&A session. Please note today’s call is being recorded. It’s now my pleasure to introduce, Gail Peck. Please begin.
Gail Peck: Thank you, Kevin. Good morning, everyone. Welcome to Trinity Industries' First Quarter 2013 Results Conference Call. I’m Gail Peck, Vice President and Treasurer of Trinity. Thank you for joining us today. Following the introduction, you will hear from Tim Wallace, our Chairman, Chief Executive Officer and President. After Tim, our business group leaders will provide overviews of the businesses within their respective groups. Our speakers are Bill McWhirter, Senior Vice President and Group President of the Construction Products, Energy Equipment and Inland Barge Group; and Steve Menzies, Senior Vice President and Group President of the Rail and Railcar Leasing Group. Following their comments James Perry, our Senior Vice President and Chief Financial Officer, will provide the financial summary and guidance. We will then move to the Q&A session. Mary Henderson, our Vice President and Chief Accounting Officer is also in the room with us today. I will now turn the call over to Tim Wallace for his comments.
Tim Wallace: Thank you, Gail, and good morning, everyone. I’m pleased with our strong financial results for the first quarter. Our performance was positively impacted by our ability to align our manufacturing capacity with the strong demand for our products to serve the oil, gas and chemicals industries. Our businesses are doing outstanding job of converting production capacity to meet customer needs for products that support these industries. I’m very pleased, that how well our manufacturing operations are improving their operating efficiencies while at the same time shifting product mix and training new employees, this is a major accomplishment. Demand for railroad tank cars and tank barges support the moment of cured oil remain strong, as well as the demand for large storage containers. We continue to review options for expanding our existing manufacturing capacity to serve markets with strong demand. Trinity Rail’s integrated railcar manufacturing and railcar leasing platform had a great first quarter. Demand for railcars to serve the oil, gas and chemicals industry in North America surge during the first quarter, contributing to a record backlog for the rail group of $5.1 million. We are continuing to pursue opportunities with third-party equity investors who are interested in ownership of leased railcars. A numbers of high quality institutional investors are currently expressing strong interest. We are focused on expanding our options for financing the growth by railcar leasing and management services businesses. I’m optimistic regarding our potential in this area. In March, we closed the previously announced agreement to acquire certain light weight aggregates operation from Taxes Industries and exchange for our remaining ready mix concrete operations. This transaction creates opportunity for higher returns within our constructions product group. I’m pleased with utilization we are obtaining from the manufacturing facilities in the United States that we have acquired last year from DMI. The timing of this transaction fit really well with the surging demand for certain products. We continue to develop resources towards identifying and pursuing additional businesses that provide products that align with our manufacturing platforms. We are confident we will continue to have additional acquisition opportunities from our pipeline of prospects. In closing, our solid financial performance and the orders we obtain for products during the first quarter reflect the capabilities of our employees in the strengths of the markets we serve. The demand for products in several of these markets aligns very well with our manufacturing businesses. This is an exciting time for our company. I’m proud of the significant progress we’re making towards achieving our vision to become a premier diversified industrial company. I will now turn it over to Bill McWhirter.
Bill McWhirter: Thank you, Tim, and good morning, everyone. Our Energy Equipment Groups revenue increased approximately 24% year-over-year due to increase shipments large containers and structural wind towers. The Group report an operating profit of $14.9 million and a major of 9.6%, which is its best performance in more than two years. During the quarter, we received $48 million of new structural wind towers. The extensional of the production tax credit, as well as the recent clarification of federal guidelines for receiving the credit is giving a nice lift to the wind tower industry. Our current backlog provides us some visibility into 2014. With respects to our production capacity, we have some flexibility and our prepared to adjust if necessary in responds to future market changes. After the close of the quarter, we announce the acquisition of the assets of Formet, a manufacturer of utility transmission structures and highway products headquartered in Monterrey, Mexico. The Formet acquisition broadens our product portfolio within the utility structures business and enhances our manufacturing footprint in Mexico. The acquisition is consistent with Trinity’s vision to become a premier, diversified industrial company. Our Construction Products Group generated operating profit of $7.7 million during the first quarter, compared to $11.1 million during the same quarter a year ago. Poor weather conditions combined with the soft highway products market resulted in a decline in revenue from last year. While the sequestration does not directly affect the federal highway bill, it does create presser on many states’ ability to fund highway projects. In March, we completed the exchange of our ready mix concrete business for certain lightweight aggregate operations owned by TXI. This transaction is the key part of our strategy to reposition the construction product segment to align with the products that have more consistent demand drivers and offer greater opportunity for improved returns. Turning to our Inland Barge Group. The group experienced a year-over-year decline in both revenue and profits resulting from fewer hopper barge deliveries in the first quarter of this year compared to last year. As a reminder, segment profit during the first quarter of last year included a gain of $3.4 million from the sale of leased barges to third parties. As a result, on an adjusted basis, the operating margin for our barge business improved year-over-year to 16.5% from 15.7%. During the quarter, we secured $66 million in new barge orders bring our backlog to $483 million at the end of March. The movement of petroleum and chemical products continues to create a strong market for tank barges. Our tank barge facilities now have visibility well into 2014. On our last call, we announced that we were enhancing one of our tank barge facilities to accommodate few additional production slides. We expect these improvements to be completed by the end of summer. In addition, we plan to reposition our hopper barge facility to manufacture smaller tank barges later in the year. Demand for hopper barges continues to show weakness, as many of our customers are experiencing low utilization levels from the reduction of coal and grain movements. Overall, I’m pleased with the performance of our business unit teams. The Inland Barge Group is performing well, despite mix demand conditions. Our energy equipment and construction products group are working hand in hand to provide products for the aging North American infrastructure markets. At this time, I’ll turn the presentation over to Steve.
Steve Menzies: Thank you, Bill. Good morning. The operational and financial performance of the Rail Group in the first quarter resulted in a number of major accomplishments. We recorded our highest ever operating profits in operating margin during the quarter. The group also set new records for backlog both in unit and dollar value and both the largest orders value quarter in Trinity Rail's history. I’m very pleased with these significant accomplishments. North American railcar demand surged during the first quarter. Strong railcar demand continues to be driven by demand for railcars to support the oil, gas and chemical industries. We are also seeing steady demand for auto racks and devising demand for small covered hoppers to sever the C&A construction industries. Industry orders for new railcars totaled 23,900 during the first quarter, of which Trinity Rail secured orders for 14,505 new railcars with a record value of $2 billion. First quarter orders were primarily for tank cars, covered hoppers and auto racks and came from railroad, industrial shippers and third-party leasing companies. Our total backlog increased to 41,265 railcars valued at record $5.1 billion in firm non-cancelable orders. Many of our orders extend current production of certain railcars into 2015 and 2016. During the first quarter, we delivered 5,230 railcars on pace with our annual delivery guidance of 20,500 to 22,000 railcars for 2013. Operating profit for the Rail Group during the quarter totaled $103 million, resulting in a 16.5% margin both new records for this segment. Operating efficiencies significantly improved throughout quarter, as we began to see the benefits of stable production and a more experienced workforce. While I expect a long-term trend of improvement in operating efficiencies, we have subtle line changeovers plan in the second quarter which may present headwinds for margins in the near term. Our leasing group continues to generate strong returns and contribute steady cash flows to the company. Operating profit from operations decreased compared to the first quarter of 2012, as lease fleet addition and higher lease rates were also set by increases in maintenance expenses during the quarter. The timing of maintenance expenses can be uneven and difficult to forecast. In the long term, maintenance expenses may increase as a percent of revenue compared to historic levels as the lease fleet ages in the cost of increased regulatory testing are incurred. Lease renewal trends for railcars serving the oil and gas and chemical industries continue to be positive during the quarter, as railcar order backlogs and production lead times remains extended. Market condition for railcars serving those markets supporting improve lease returns, lease terms and lease rates to the first quarter lease renewals. Our lease utilization at the end of the first quarter was 98.4% down slightly from the previous quarter due to continued softness in the coal and agricultural markets. During the first quarter, we added approximately 1,695 new railcars to our wholly owned leased fleet portfolio. The total lease portfolio including trip now stands at approximately 72,775 railcars, an increase of 4% year-over-year. At the end of quarter, approximately 18% of the units in our railcar order backlog to the total of $906 million was slated for customers of our leasing business. Secondary market conditions remained attractive for lease portfolio sales sustaining the opportunity to strategically manage our portfolio of railcars and return value to shareholders. We did complete several railcar sales transactions during the quarter. In closing, I’m pleased with how our team responded to the challenge to transition production to railcars in support of the oil, gas and chemicals industries. Our manufacturing flexibility positions us to meet demand earning strong returns from extended production rise. Our record backlog is an indication of our ability to quickly adjust to meet strong market conditions and service our customers mix. We expect to continue seeing the benefits of a favorable lease pricing environment and an active secondary market supporting lease portfolio sales and we are solidly position to take advantage of the well-aligned railcar and capital markets to support continued growth of our leasing footprint. I’ll now turn it over to James for his remarks.
James Perry: Thank you, Steve, and good morning, everyone. Yesterday, we reported strong first quarter results with a growth in total earnings per share of 50% over last year, resulting in a most profitable first quarter in Trinity history. The results were driven by the strong performance of our Rail Group, primarily as a result better than expected efficiencies during the quarter and a solid improvement in the Energy Equipment Group profitability. During the first quarter, we closed the previously announced transaction with TXI, exchanging our remaining ready mix concrete business for certain light weight aggregate assets. The company booked net income from discontinued operations of $6.6 million during the first quarter or $0.08 per share as a result of the transaction, including a $7 million after tax gain on the sale. This gain was not included in our prior earnings guidance. At quarter end, our unrestricted cash and marketable security totaled $420 million, when this is combined with the unused capacity under our committee credit facilities we had approximately $1.1 billion of available liquidity at the end of the quarter. Capital allocations during the quarter included approximately $161 million in net leasing and manufacturing capital expenditures, $9 million in cash use for acquisitions, and $84 million in debt payments, including $49 million related to the early retirement of a 6.78% secured leasing term loan. I will now discuss our updated outlook for 2013, including our annual guidance for each business segment. For the second quarter of 2013, we expect total earnings per share for the company to be between $0.88 and $0.95. For the full year, we now expect total earnings per share of between $3.80 and $4.05, including the effects of discontinued operations. We do not anticipate any addition impact from discontinued operations during the remainder of the year. For the Rail Group, we no expect 2013 revenue of between $2.5 billion and $2.7 billion. We continue to expect the Rail Group to deliver between 20,500 and 22,000 railcars in 2013 at a relatively consistent pace throughout the year. During the second quarter, we will conduct several line changeovers in our railcar operations, which may reduce our margins during the quarter. Despite the near-term headwind, we expect an annual operating margin of between 15% and 17% for the Rail Group. In our Inland Barge Group, we expect annual revenues of between $555 million and $580 million in 2013, with an operating margin in the range of 14% to 16%. As a reminder, the hopper barge is currently in the backlog have lower margins than the hopper barges delivered in 2012, somewhat offsetting the strong fundamentals we are seeing in the tank barge market. In the Energy Equipment Group, we now expect 2013 revenues of between $580 million and $600 million, and an operating margin of between 8.5% and 10.5%. This improved guidance is the result of strong demand in our tank containers business and an uptake in demand for structural wind towers, as a result of the recently clarified federal guidelines for receiving the production tax credit. The new tax credit provides the industry with much needed visibility and the opportunity to advance new projects. In the Construction Products Group, we expect annual revenues of between $515 million and $540 million in 2013, and an operating margin of between 9.5% and 11.5%. As a reminder, seasonality is a factor in this business segments results, the second and third quarters are usually the high points of the construction season. Our 2013 guidance reflects the recent acquisition of light weight aggregates from TXI. In the Leasing Group, we expect 2013 revenues from railcar leasing and management operations of between $560 million and $580 million, with an operating profit of between $250 and $275 million. This portion of the leasing guidance excludes potential revenue and profit from sales of railcars from the lease fleet. We now anticipate revenue and deferred profit eliminations from new railcar additions to the lease fleet will be between $800 million and $850 million of revenue, and between $135 million and $160 million of operating profit. An important element of our overall strategy is to reduce the cyclicality of Trinity’s earnings, an increased shareholder return on invested capital. Deferring profits now to achieve a premium stream of long-term sustainable earnings is a component of the strategy. Our annual guidance also includes $20 million to $25 million of operating profit from railcar sales from the lease fleet. Secondary market conditions for sales of leased railcars remains attractive at this time. The exact timing of feature transaction is difficult to predict and we will update you on our activities throughout the year. As a result of higher new railcar additions to the lease fleet, we now plan to make a net investment in the lease fleet of approximately $530 million to $580 million in 2013, after taking into account the expected level of railcar sales. The ramp-up in employment due to increase volumes in our businesses has cause our SE&A expense to increase, contributing to the first quarter increase in SE&A were certain legal and consulting costs, as well as higher compensation accruals due to better financial performance and expectations. For the full year we expect SE&A to be between 6.5% and 7.5% of revenues. This level of SE&A is incorporated in the annual business segment guidance I have provided. Full year manufacturing and corporate capital expenditures for 2013 are expected to be between $160 million and $190 million. We expect corporate expenses to be in the range of $65 million to $70 million for the year and we expect the tax rate of 36% to 38% during the remainder of the year. Our guidance uses a full year weighted average share count of 77 million shares for purposes of calculating fully diluted EPS. As a reminder, we're required to report EPS using the two-class method of accounting, the result from which is estimated to reduce EPS attributable to Trinity by approximately $0.12 per share for the full year 2013 compared to calculating Trinity EPS directly from the phase of the income statement, this is included in our EPS guidance. Our results during 2013 will be influenced by multiple factors, including, the amount of operating leverage and efficiencies that our manufacturing businesses can achieve, the level of sales and profitability of railcars, the amount of profit eliminations due to railcar additions to the leasing group and the impact of weather conditions on our businesses. In summary, our employees are diligently meeting many opportunities and challenges presented to them. In 2013, we expect to improve profitability and deliver strong year-over-year earnings per share growth of 19% to 27%. While total net revenues increase at a more moderate pace. This is a direct result of the hard work of our employees to achieve operating leverage and efficiencies from our long production runs. We are very pleased with our first quarter results and look forward to building on the quarter’s performance during the rest of this year. Our operator will now prepare us for the question-and-answer session.
Operator: (Operator Instructions) With that, we’ll go first to line of Eric Crawford with UBS. Your line is open.
Eric Crawford - UBS: Hi. Good morning, guys.
Tim Wallace: Good morning.
Eric Crawford - UBS: I guess, I just have a few questions, mostly just around the theme is this as good as it gets, following the tank car demand last quarter, looks like it will be tough to match going forward, but can you speak to the inquiry levels or we may not see orders beat Q1, is it fair to expect your backlog to continue trending higher or is there a concern that backlog takes down from here?
Tim Wallace: Steve, do you want to take that?
Steve Menzies: Sure. Good morning, Eric. Certainly, the order levels in the first were extraordinary. They were at a very high level. It will be difficult to continue to that order level after an agreement with you. But we continue to see strong order demand for tank cars. We are serving the gas and chemicals industries. We are also starting to see some inquires for small covered hoopers to support sand and construction product and the auto demand has been fairly constant. So we are stilling seeing good strong demand, although I don’t expect the order levels in the first -- comparable to those in the first quarter.
Eric Crawford - UBS: Okay. Thank you. And just on the orders you got in the quarter, a competitor last week suggested they were being selective on which tank orders to bid and attempt to maximize margins. I can see the record backlog number and the average price went up sequentially. It sounds like if I heard the value of the orders that pricing came in pretty healthy. But did you just address that concerns specifically pricing in the tank car market you saw in 1Q versus prior quarter?
Steve Menzies: This is Steve again. Eric, we are very pleased with pricing levels. I think the market has and generally behaved rationally, and we are very pleased with the orders that we received in the quarter. And we continue to see strong pricing trends both in the sale market as well as the leasing market.
Eric Crawford - UBS: Okay. Great. Thanks. And lastly, assuming relatively flat build going forward, I would expect to see some margin improvement coming through just from better priced products in the backlog. But we also expect benefit from more efficient production from some of your newer facilities as a ramp up to learning curve. I guess you’ve given the margin guidance to put for the year. But how should we think about framing the margin profile going forward longer term?
Steve Menzies: Yeah. Eric, Steve, again. I think I mentioned in my prepared remarks that we would certainly strive to see improving trend over the long-term with some line changeovers that we have scheduled in the second quarter. We may have some headwinds on margins in the near term. But certainly our expectations and our goals are to improve the efficiencies over the long-term.
Eric Crawford - UBS: Okay. Great. Thank you.
Operator: We will next to side of Steve Barger with KeyBanc. Your line is open.
Steve Barger - KeyBanc: Hi. Thanks. Steve, you reiterated that orders are non-cancelable but given the lead times in your backlog, are you concerned about any double ordering in the industry? Are you looking at customer credit, or are you requiring deposits from anyone?
Steve Menzies: Yeah. Steve, thank you. Good question. Again, we want to emphasize, our orders are non-cancelable. I think one of the interesting things that we’ve now witnessed thus far in this marketplace is a rash of speculative buying, so that the orders that are being placed are very serious orders. We indeed are taking deposits from customer for extended orders going out into the ’14 and ‘15 timeframes. So we are highly confident about the solid nature of our backlog.
Steve Barger - KeyBanc: That’s great. Are you seeing non-traditional tank customers coming in? Is that what’s really driving some of this or this normal shippers and lessors placing the orders?
Steve Menzies: It’s been largely on the tank car side refiners in exploration and production companies. We’ve seen other lessors placing orders and we also see other industrial shippers as well as rail roads. So we’ve had some good diversification in our customer base and I have not seen any thing extraordinary or any brand new entrants coming into the marketplace.
Steve Barger - KeyBanc: Got it. I heard you say that there is going to be some margin headwinds in 2Q from line changeovers. But just looking at the margin profile of the quarter and your backlog, was there anything unusual this quarter in terms of mix or efficiencies that should make us think this margin is a real outlier, or is it just you’ve realizing the benefits of good pricing in the long production runs?
Steve Menzies: I really think it’s for the latter, Steve. Just very pleased with the performance of our operating teams. We’ve really seen the benefits of the extended production runs that we have planned and our leadership and our fields have really done a great job in process and in realizing the efficiencies that we are capable of gaining.
Steve Barger - KeyBanc: Okay. And then last one and then I will get back in line. Another leasing company indicated, they published a lease price index and improved 30% last quarter. Is that a reasonable way to think about the renewals in your lease fleet? And related question for new leases that you are signing right now, is pricing up versus what you saw last year?
Steve Menzies: We don’t talk specifically about our renewal increases or changes. But again, as I made comment, we are very pleased with the renewal trends both in terms and lease rates and clearly new car pricing is up, both on the sale and lease side compared to last year.
Steve Barger - KeyBanc: Very good. I’ll get back in line. Thank you.
Operator: And we will go next to the line of Allison Poliniak with Wells Fargo. Your line is open.
Allison Poliniak - Wells Fargo: Hi, guys. Good morning. On the capacity additions, I think you alluded to -- you didn't really announced anything, but are you thinking just because of the level of the order inquiries that you are still getting and I'm talking about the rail segment, that you may need to add some capacity as we go forward into 2014?
Tim Wallace: Steve, go ahead.
Steve Menzies: Yeah. I’m sorry. I didn’t hear the first part of your question. Excuse me.
Allison Poliniak - Wells Fargo: Yeah. Sorry. I have a bit of a cold too. Just on the capacity additions that you guys alluded to, nothing was -- it was announcement, but is it due to some of the level of order inquiries that you are receiving on the rail side, that you might need to?
Tim Wallace: Well, it’s Tim. As I said, we continue to review options for expanding our existing manufacturing capacity to sort of any market where there is a strong demand and we won’t anticipate that it’s a sustainable demand, and it will get the returns on it. And the additional capacity that we acquired last fall, has been very helpful to us in a number of our different products, not just in the rail area. We have -- our both facilities are becoming multi purpose facilities. And that’s the ideal type of facility that we like to operate.
Allison Poliniak - Wells Fargo: Okay. Perfect. And then, you touched on leasing the third-party potential opportunity. So, I think this is something similar to what you did with TRIP a couple of years ago?
Tim Wallace: I’m sorry, Allison. With the, which fees?
Allison Poliniak - Wells Fargo: The third-party leasing transaction that you guys were talking about the interest on that side.
Tim Wallace: Yeah. Like we said, there has been a lot of interest in that space. We’ve obviously had some nice debt transactions over the last year, especially in the fourth quarter. So there is a lot of capital markets interest and we’ve seen that on the equity side as well. But to your point, it’s a lot like when the market was strong six years ago when we conducted the TRIP transaction, nothing to talk about specifically at this time. But there has been a lot of conversation there. We are very optimistic that we are going to get opportunities there and we look into see the best way to take advantage of people that want to partner with us on this leasing railcar strength.
Allison Poliniak - Wells Fargo: Okay. Great. And then, Bill, I think this one is for you. I was in the camp with the MAP-21 bill that we probably see some improvement on the highway side. But new customs and their regional -- the side of things that, are they not getting funding or they not -- I’m just confused that why that isn’t I guess working out the way we thought it was?
Bill McWhirter: Yeah. Allison, the funding is starting to come through, really started to kind of kicking off in March. Unfortunately, it was combined with some pretty poor weather conditions throughout the central part of the U.S. and that’s in the Northeast. So, I think the business will start. But as I said, one of the drags we have in the marketplace is that states still need to come up with a small matching amount and states are struggling at the funding level on how to take care of their transportation projects. So we’ll just have to monitor it quarter-by-quarter.
Allison Poliniak - Wells Fargo: Okay. Perfect. Thank you.
Operator: We’ll go next to line of Bascome Majors with Susquehanna Financial Group. Your line is open.
Bascome Majors - Susquehanna Financial Group: Yeah. Good morning. You touched on this a little bit earlier, but I was hoping you could give us a little more detail on the capacity reallocations you've done to help you capture such a significant share of industry orders in the rail business, namely sort of where is this coming from? Where is it geographically? And how much could you potentially shift to rail from other segments that are still producing other products, should demand warrant down the road?
Tim Wallace: Yeah. This is Tim. Our capacity allocation is a corporate wide function and we look at the facilities that we have, backlog of orders that they have in the various facilities and the competency of the workforce in the facilities. And then we look at the demands that are coming in for our various products and our leadership here does a terrific job at the operation management level of trying to utilize our facilities for the highest and best usage. And so we are very confident at shifting facilities fairly quickly and it’s a very dynamic situation. So it’s difficult to say that something is going to be static in that area. It really depends on the demand flow and the perceive profitability and returns that we think we get. And we still have some additional facility capacity that we can find. And we’re shifting this between our containers group, our barge group and our railcar group as well as some other smaller products that we may have. So it’s not like one major shift. It’s a combination of endless shifting that occurs within our company. And we have the objective of enriching our earnings by shifting and utilizing our facilities this way.
Bascome Majors - Susquehanna Financial Group: Okay. And perhaps a higher level, one for Tim here. Things are going really well right now. You’ve got a $5 billion railcar backlog. You’ve got production visibility out two years or so. And margins are at record levels but when you look at the 2014, 2015, what is it that you worry about that could perhaps change things and what are you doing or can you do it to make sure, it doesn’t happen?
Tim Wallace: So, one of the key challenge is that we have is getting the new employees that we’re hiring on board trained appropriately and integrated into our company as well as some of the new management type people and supervisors that we have. So human resource is always a key area that we focus on when we are growing like we’re growing. At the same time, this year and as we look at it as James said our revenue is relatively flat. And so we have to have teams of people working inside the company to drive the operating efficiencies and the operating leverage and then the utilization of our facilities like I just mentioned. So, mainly our concern right now is being able to ensure that everybody is in the right place at the right time to maximize the shareholder value as best we can. At the same time, we’re looking at the markets and demand levels that we anticipate will be out in the future. And then we’ve got new product developments that we’re looking at both organic and externally.
Bascome Majors - Susquehanna Financial Group: All right. Well, thanks for the time guys.
Operator: We’ll go next to the line of Matt Brooklier with Longbow Research. Your line is open.
Matt Brooklier - Longbow Research: Hey, thanks. Good morning. You mentioned that you’ve had a pickup in terms of inquiries for some of the covered hopper equipment. I’m just curious to see if you have any visibility with respect to when those inquiries could actually turn into orders?
Tim Wallace: Steve?
Steve Menzies: Well, hopefully all the order inquiries turn to orders. But, I would say, Matt, the inquiries that we have for small covered hoppers are serious inquiries. We have booked some orders here in the second quarter in that direction. And so I really think the demand we’re seeing is at the beginning of a trend that we hope will continue for the balance of the year.
Matt Brooklier - Longbow Research: Okay. Is it potentially kind of a steady ramp into the second half or I mean, do you have any incremental visibility in terms of when those orders could hit?
Steve Menzies: I think we’re little early in the cycle to really be able to determine that. We originally have thought that the frac sand market would recover in the second half of 2013. We’re starting to see some early inquiries in some orders that would support that. But I would certainly like to see the trend go a little longer before I was ready to proclaim as steady recovery in that market.
Matt Brooklier - Longbow Research: Okay. That’s helpful. And then what -- in terms of the plastic pellet market, have you seen inquiries pick up there as well for covered hoppers?
Steve Menzies: We’ve not. We have had some inquiries. I still think the capacity for plastics and resins that come on stream is still a little far out. And as we get a little closer, I think late ‘15, 2016, we’ll start to see those inquiries pickup for those products.
Matt Brooklier - Longbow Research: Okay. And then, I think in someone’s prepared comments, mentioned that two of the DMI facilities are currently being used to produce multiple products. Just I haven’t heard anything about the third facility in terms of what’s being done there?
Tim Wallace: Yeah. This is Tim. We’re still looking at a variety of different opportunities for that facility. We think we’re optimistic on opportunities that we see but as of right now, what we’ve been doing is focusing on fulfilling the demand and pursuing the orders that we have in the other areas of the facilities that we’re currently operating when we took them over. And this is how we run our business. Idled plants, kind of, sit in Bay until the existing plants are full of business. And we’ve got the operating leverage and the operating efficiency going before we try to bring on more incremental production. We rather milk the maximum out of profitability that we can from an existing facility instead of diluting it by taking some of those products to an idle facility.
Matt Brooklier - Longbow Research: Okay. That makes sense. And then just my final question, the wind tower facilities that were converted to manufactured railcars. Are you at full utilization on those facilities at this point?
Tim Wallace: No. We are coming up the curve and we’re having really good results with those facilities. As Steve and I have said and I think James even said we’re really pleased with the performance of our group to be able to make such a smooth transition as they have and deliver the type of results that they have in that particular area. When Steve talks about line changeovers, he is not referring to line changeovers that are associated with wind towers converting to tank cars. He is talking about line changeovers at the product line level. Right Steve.
Steve Menzies: Yeah. Within our freight car sector, we have line changeovers from product to product.
Matt Brooklier - Longbow Research: Okay. Understood. Thank you.
Operator: We’ll go next to site of Tom Albrecht with BB&T. Your line is open.
Tom Albrecht - BB&T: Hey, good morning, everyone. Most of my questions have been asked or answered. But Steve, you were giving so many numbers. I didn’t catch the percentage of the backlog currently going into Trinity leasing?
James Perry: Yeah. Backlog -- this is James, Tom. The backlog right now, they had come to leasing, was about $900 million out of $5.1 billion.
Tom Albrecht - BB&T: Okay. Perfect. Thank you.
Operator: We’ll go next to site of Art Hatfield with Raymond James. Your line is open.
Art Hatfield - Raymond James: Morning, everyone. Hey, on Tom’s question, is it possible, could you have discussions with existing customers for those third-party sales at overtime, maybe those could convert to leases?
Steve Menzies: Art, this is Steve. Yeah. That is possible. And I think one of the attractive benefits of our customers working with Trinity Rail is our ability to both sell end lease cars and work with customers on that basis. So there is some chance that leases convert to sale. And we also have chance that some times customers look at things a little different and want to lease some cars rather than buying too. So, our flexibility does play into that.
Art Hatfield - Raymond James: Okay. That’s helpful. And just my second question because all my other ones have been answered. Regarding the backlog mix, obviously, was everything going on in the energy market, tank, as we all understand is a big portion of the backlog. But have you seen a change within the mix, within the backlog, where you’ve now seen more and more opportunities to move heavy crude out of Canada and that would require different car type. Have you seen a change in the mix and if so, could that or how would that, maybe have an impact on margins as you have to readjust to that change in manufacturing builds?
Steve Menzies: The different types of crude oil being transported sometimes require different configurations in the railcars. Further south, it has a different configuration than the Canadian cars would be required to have. And we really don’t see margin differences. We’ve seen strong demand for both car types. I think there is probably more Canadian crude to come under market place so we may see more cars in demand configured to be able to support those movements. But we view those cars as both marketable within the crude oil sector as well as other products beyond crude oil. And we’re pleased to manufacture them both and lease them both. So we’re well positioned to be able to respond to their trend.
Art Hatfield - Raymond James: Great.
Tim Wallace: Tim. We -- I'm sorry, this is Tim. We manufacture those on the same line. So it’s not really -- you can -- you're doing them simultaneously.
Art Hatfield - Raymond James: Absolutely.
Tim Wallace: So it’s really not a major changeover for us to switch from one car type to other there. They are happening together routinely, along with variety of other types of tank cars.
Art Hatfield - Raymond James: Good. Just, as a follow-up to that, as we see any changes, do you see, maybe the demand patterns change a little bit with those different car types. Do you think they’ll be pretty consistent with where they’ve been over the last -- as with regards to mix within the backlog?
Steve Menzies: Good question, Art. We’re in the early stages of the game here. And I think there is so much yet to be developed and infrastructure to be developed, transportation patterns to be developed. It’s really hard to make that type of projection, but right now we are very comfortable with where we’re positioned to respond to the demand for cars to serve the different markets.
Art Hatfield - Raymond James: Great. Hey, thanks for your time this morning.
Operator: We’ll go next to the site of Sal Vitale with Sterne Agee. Your line is open.
Sal Vitale - Sterne Agee: Good morning. Just a -- first a quick question on the changeover costs in 2Q -- I’m sorry if I missed that earlier. Did you mention what the magnitude of those costs could be in 2Q?
James Perry: Sal, this is James. We did not give a magnitude. We simply indicated there was a headwind and we may see some margins if they are in the near term but didn’t give quantification of that.
Sal Vitale - Sterne Agee: Okay. Is there any chance that to bleed into third quarter?
James Perry: You know, really it’s more of a near-term thing for us. We are not specific on that and that’s another reason why we’re really focused on the annual guidance for the group which we increased from the previous guidance for rail both on the revenue and the margin side. So we’re seeing nice trends but you’re going to see near-term headwind and exactly the timing of that is hard to nail down. But we’ll focus more on the second quarter there.
Sal Vitale - Sterne Agee: Okay. And then just bigger picture, just looking at the margin potential going forward, like it was mentioned earlier, you’re pretty much at peak margins at this point. So given the higher profitability of tank cars, I’m just curious what your view is on what the peak could be in this cycle if we look at to calendar ‘14 or even ‘15. How much more margin potential do you have at this point?
James Perry: This is James again. As Steve mentioned earlier, we’re certainly looking to drive efficiencies. We’re going to have as we mentioned in the second quarter some headwinds occasionally as we do changeover for specific products. As we’ve talked about, it’s our best quarter we’ve had in that respect. From margin perspective, we’ve got a very strong backlog in visibility. We’re certainly challenging the teams to continue to drive efficiencies. And right now, looking at the 15% to 17% margin for the group. For this year, all we’re able to really project openly, beyond that we will have to kind of wait and see how these come through and give that guidance as we get closer.
Tim Wallace: Sal, this is Tim. I don’t look at this as peak margins. I think that our people are challenged to continuously improve in this particular area. And we’re not -- I'm not accepting that these are peak margins. So I think we’ve got some opportunities on the horizon to continue to drive greater margins.
Sal Vitale - Sterne Agee: Okay. That’s fair. Is there -- can you give a little bit of color on how much of the, say, margin expansion over the last couple of quarters which is roughly 800 basis points. How much of that was due to efficiencies and how far along you are there in terms of gaining efficiencies? How much do you have left do you think?
James Perry: Yeah. We really can’t breakdown the difference in pricing versus efficiencies in those five things. Again to Tim’s point, we’re certainly challenged to continue to improve that opportunity on efficiency side but breaking that down specifically is difficult.
Sal Vitale - Sterne Agee: Okay. Thank you for your time.
Steve Menzies: Sal, let me just follow-up on those two comments for a moment. Continuously price has increased in our railcars and with the steady production as we’ve laid out our plans here with our backlogs, we certainly have goals to continue to improve our margins. So I think we’re well positioned the time will tell whether or not we’re able to execute.
Sal Vitale - Sterne Agee: Okay. I appreciate that. Actually, just one last question if you could. I think you said your tank car backlog extends into ‘16 -- into 2016. Can you give a sense for how much of the total tank car backlog is ‘15 and ‘16?
Steve Menzies: Yeah. I think what I said is our total backlog extends into ‘15 and ‘16.
Sal Vitale - Sterne Agee: I’m sorry.
Steve Menzies: But we don’t break out how much we have each year or what car types those are.
Sal Vitale - Sterne Agee: Okay. Thank you very much.
Operator: We’ve a follow-up question from the line of Eric Crawford of UBS. Your line is open.
Eric Crawford - UBS: Thanks. Thanks for the time and all the color. Just had one more on the guidance, you raised the Rail Group revenue guidance but maintained deliveries. So just wondering if the change there is, you guys moving close to the upper end of the deliveries range or is that just a reflection of maybe repricing some of the deliveries to reflect input cost?
James Perry: Yeah. Sure Eric. This is James. I think its sum of all the above. As we’re looking, we continue to refine our delivery schedules for the year. We see where that is within the range. As to your point, didn’t change the range and where that falls exactly is difficult to project right now. But part of it is we continue to fill in pieces of the production schedule and get more refined on that and see where the pricing for those cars is. The combination of those two took the revenue up slightly.
Eric Crawford - UBS: Okay. Great. Thanks a lot.
Operator: We go to next to line of Barry Haimes with Sage Asset Management. Your line is open.
Barry Haimes - Sage Asset Management: Hi, thanks. I have a question on the leasing position and the profitability. You talked about the mid expense being higher and I wanted to get a sense for whether that’s a more lasting upward expense because of greater age or so on, or is this something that’s relatively short-term in nature and will revert back down? Just a little more color around that. Thanks.
Steve Menzies: Yeah. Good question, Barry. Thank you. The timing of maintenance and regulatory testing can be very uneven and it’s very difficult to project and it does have a near-term impact on margin. Our first quarter maintenance expenses were abnormally high due to a lot of timing issues. But I would say in general that we expect a higher level of maintenance than in previous years as a result of the increasing age of our fleet, increased mileage and increased regulatory compliance requirement. So long-term, I think the trend is going to see increased revenue expenses as a percentage of -- increased maintenance expenses as a percentage of revenue. I think the first quarter was abnormally high due to timing issues.
Barry Haimes - Sage Asset Management: Great. Thanks. And then maybe just one follow-up to your earlier question. You haven’t deal with pricing and you talked about why you still see prices moving in an upper direction. So, I presume that the pricing in the backlog and pressure on margins are affecting the backlog is greater than where we are right now, is that a fair way to think about it?
Steve Menzies: Well, maybe. We always have a mix issue and we have a number of other different products entering into that equation so. But I think with products, demand is strong as we are seeing positive pricing trends.
Barry Haimes - Sage Asset Management: Great. Thanks very much.
Operator: We’ve a follow-up question from the line of Steve Barger with KeyBanc. Your line is open.
Steve Barger - KeyBanc: Hi. Thanks for taking my question. I think you said you have $900 million of the cars in the backlog going to the lease fleet. And if I have the 1Q number right, I think your guidance implies you will add $600 million to $650 million for the remainder of the year. So if we just hold everything else equal and deliveries were flat in 20,000, does that suggest there’d be more third-party cars shipped next year, which I think would result in higher manufacturing revenue and profit?
James Perry: Hey, Steve. This is James. To your overall point, you are looking at it somewhat correct and when you do the math. One thing -- in the first quarter, we had $198 million of eliminations releasing. So you’re close to 200 of that numbers. So just to be sure where apple-to-apples that are from the press release comments then we can help you on through the Qs as we release that later today. But to your point, a lot of that, those cars dedicated to leasing right now, are slated for this year given the numbers that you are backing into that respect. We will shift to leasing next year and going forward, we’ll see but to your point that doesn’t pull more external in future years given where we’re today.
Steve Barger - KeyBanc: Got it. Thanks, which obviously would imply better absorption through the manufacturing arm and that sort of thing, right?
James Perry: Well, the absorption on manufacturing the same. They are building the car the way, the only difference is what gets eliminated from the revenue and profit line at the bottom of the consolidation.
Steve Barger - KeyBanc: Got it. Thanks.
Gail Peck: Well, looks like that concludes today’s conference call. A replay of this call will be available after 1:00 o’clock Eastern Standard Time today through midnight on May 8, 2013. The access number is 402-220-0116. Also, the replay will be available on the website located at www.trin.net. We look forward to visiting with you again on our next conference call. Thank you for joining us this morning.